Operator:
Ravi Ganti:
Christopher M. Crane:
, :
Jonathan W. Thayer:
 :
Christopher M. Crane:
Operator:
Christopher M. Crane:
Unidentified Analyst:
Christopher M. Crane:
Unidentified Analyst:
Christopher M. Crane:
Joseph Dominguez:
Unidentified Analyst:
Operator:
Greg Gordon - ISI Group Inc.:
Christopher M. Crane:
Greg Gordon - ISI Group Inc.:
Jonathan W. Thayer:
Greg Gordon - ISI Group Inc.:
Christopher M. Crane:
Kenneth W. Cornew:
Greg Gordon - ISI Group Inc.:
Christopher M. Crane:
Operator:
Christopher M. Crane:
Daniel Eggers - Crédit Suisse AG, Research Division:
Christopher M. Crane:
Kenneth W. Cornew:
Daniel Eggers - Crédit Suisse AG, Research Division:
Kenneth W. Cornew:
Christopher M. Crane:
Daniel Eggers - Crédit Suisse AG, Research Division:
Christopher M. Crane:
Operator:
Christopher M. Crane:
Jonathan Arnold - Deutsche Bank AG, Research Division:
Christopher M. Crane:
Jonathan W. Thayer:
Jonathan Arnold - Deutsche Bank AG, Research Division:
Christopher M. Crane:
Jonathan W. Thayer:
Kenneth W. Cornew:
Jonathan Arnold - Deutsche Bank AG, Research Division:
Christopher M. Crane:
Jonathan Arnold - Deutsche Bank AG, Research Division:
Christopher M. Crane:
Jonathan Arnold - Deutsche Bank AG, Research Division:
Operator:
Christopher M. Crane:
Brian Chin - Citigroup Inc.:
Christopher M. Crane:
Brian Chin - Citigroup Inc.:
Christopher M. Crane:
Brian Chin - Citigroup Inc.:
Christopher M. Crane:
Brian Chin - Citigroup Inc.:
Christopher M. Crane:
Brian Chin - Citigroup Inc.:
Operator:
Hugh Wynne - Sanford C. Bernstein & Co., LLC:
Christopher M. Crane:
Joseph Dominguez:
Christopher M. Crane:
Hugh Wynne - Sanford C. Bernstein & Co., LLC:
Operator:
Christopher M. Crane:
Jay Dobson - Wunderlich Securities Inc:
Christopher M. Crane:
Jay Dobson - Wunderlich Securities Inc:
Christopher M. Crane:
Jay Dobson - Wunderlich Securities Inc:
Operator:
Michael Lapides - Goldman Sachs Group Inc., Research Division:
Christopher M. Crane:
Jonathan W. Thayer:
Joseph Dominguez:
Kenneth W. Cornew:
 :
Michael Lapides - Goldman Sachs Group Inc., Research Division:
Christopher M. Crane:
Michael Lapides - Goldman Sachs Group Inc., Research Division:
Operator:
Julien Dumoulin-Smith - UBS Investment Bank:
Christopher M. Crane:
Julien Dumoulin-Smith - UBS Investment Bank:
Christopher M. Crane:
Jonathan W. Thayer:
Julien Dumoulin-Smith - UBS Investment Bank:
Jonathan W. Thayer:
Julien Dumoulin-Smith - UBS Investment Bank:
Ravi Ganti:
Christopher M. Crane: